Lisa Crossley: Good morning and welcome to Reliq Health Technologies Corporate Update. This is the corporate update in which we will review our Q2 Fiscal Year 2021 Financials as well as provide an overview of the company's progress last quarter and subsequent. My name is Lisa Crossley and I'm the CEO at Reliq Health. And today is March 2nd, 2021. I encourage you to read the forward-looking statements disclaimer at your leisure. And just a reminder that the following presentation is management's best estimates and projections for the company's progress, their anticipated progress going forward. A reminder for those of you who are long-term shareholders and for those of you who are new to the story, Reliq is a rapidly growing global telemedicine company. We specialize in providing Software-as-a-Service solutions to the community healthcare market. And really our focus is on the chronic disease management sector rather. The company's headquartered in Hamilton, Ontario, and we also have U.S. offices in Florida and Texas since the U.S. is our largest market.
End of Q&A: